Operator: Good morning and welcome to the Second Quarter 2015 Earnings Conference Call for Orchid Island Capital. This call is being recorded today July 30th, 2015. At this time, the company would like to remind the listeners that statements made during today’s conference call, relating to matters that are not historical facts are forward-looking statements subject to the Safe Harbor provisions of the Private Securities Litigations Reform Act of 1995. Listeners are cautioned that such forward-looking statements are based on information currently available on the management’s good faith, belief with respect to future events, and are subject to risks and uncertainties that could cause actual performance or results to differ materially from those expressed in such forward-looking statements. Important factors that could cause such differences are described in the company’s filings with the Securities and Exchange Commission, including the company’s most recent annual report from Form 10-K. The company assumes no obligation to update such forward-looking statements to reflect actual results, changes in assumptions or changes in other factors affecting forward-looking statements. Now, I would like to turn the conference over to the company’s Chairman and Chief Executive Officer, Mr. Robert Cauley. Please go ahead, sir.
Bob Cauley: Thank you, operator. As we entered the second quarter, our portfolio had a significant allocation to prepayment-sensitive securities. In the case of our pass-through portfolio, this made high coupon fixed rate securities with our capital allocation to structured securities, this made interest only in inverse interest-only securities. In sum, we were positioned for continuation of some good prepayments fees as we have business early 2014, given the rally and rates that peaked in late January, early February, we expected an uptick in prepayments early in the second quarter. This in fact is what incur and the prepayment -- this is expected what is occur and the prepayment speed of portfolio from March recorded in early April jumped by almost 50% over the February level. The magnitude of this increase was slightly above our expectations, but the significance of the increase was tempered by our expectation that would continue for a relatively short period of time. We had already observed a spike in a Mortgage Bankers' refinance index in January, but the index value had quickly retreated below the 2000 level six weeks later. We expected April speed released in early May just after our Q1 earnings call might still be elevated, but we expected to be in subsequent months to retrace just as the refi index has. This had been not the case. April speeds were essentially equal to March speeds and May and June speeds while lower than March and April were still 40% above the levels we experienced in late 2014, early 2015. First, I would like to discuss what we think speeds have remained elevated. Most market indicators we look at indicate speed should have slowed by now. The MBA refi index as mentioned above has retreated to approximately 1,400, the average level we observed for the latter half in 2014. The yield on the 10-year U.S. Treasury ended the second quarter at 2.35% after hitting a low of 1.642% on January 30th. The Freddie Mac survey rate low for the year of January 30th as well at 3.79%, by quarter end, the survey rate was 4.26%. The share of loan application through refinancing has declined to approximately 50% after speaking at close to 75% in January. All these indicators point to a meaningful speed slowdown, however, housing guidance has been strong this year, almost the strong as the 2013 data which was believed by the private equity capital which came into the market to take advantages of fairly distressed home prices. This year has been driven by sound housing fundamentals. We have had several years of job growth about 200,000 per month and modest wage growth. Home price depreciation has been sufficient to eliminate most of the negative equity that was self-pervasive a few years ago and we're starting to see equity extraction by a cash-out refinancing. Lending standards have relaxed somewhat and are no longer the impediment to our housing market recovery they once were. This has led to higher levels of turnover in the market, the case we borrowers repay their loan, not because they are refinancing or existing loans, but because they are some their house and moving. Evidence of this was clear with the June prepayment report released earlier this month. For instance, speeds on 2012 origination standing 3%, 30-year fixed rate mortgages, where 10.6% CPR. The weighted average coupon on this mortgage is 3.59%, while the Freddie Mac survey rate was anywhere from 25 to 45 basis points above that rate for the April-May period, the period when these prepayments would have been initiated. Clearly, these borrowers are not refinancing. We expect this trend to continue so our baseline repayment assumption or repayment rate after any refinancing activity is now two or three CPR higher than last year. However, we do expect rate related refinancing activity continue to slowly decline over the balance of the year. As a result, we expect the overall portfolio prepayment rate will likely trend forwards, but not quite reach the low levels we observed at the end of 2014. I will adjust what these means for positioning of our portfolio in a few minutes. Now, turning to the markets and specifically our portfolio. The impact has been felt in many ways, premium amortization increased substantially and the performance of our structure securities portfolio composed of all IO and inverse IO securities and therefore, very sensitive prepayments fees muted their ability to offset the negative price pressure on our passive securities as rates rose. This was especially so as the curve steepened during the quarter and longer term rates increased the most. These rates have the greatest impact on the price of our pass-through securities, exacerbating the problem with the persistent impact on the market by development increase in China. Performance of the rates market in June, particularly the long end was driven almost entirely by the latest rumors and headlines from abroad. Market participants never knew which direction the next 25 basis points in rates was headed, up or down. This kept fears of return to lower rates and faster prepayment fees in the minds of investors. While rates never did fall back to lower levels in a meaningful way, the fear impacted prepayment sensitive securities, particularly IOs and premium pass-throughs. This was evidenced in the change in the pay of premiums for call-protected securities which remained well above levels expected given mortgage rates about 4%. The impact of events overseas was not limited to the treasury market, agency pass-through wide and spread through comparable duration treasury or swaps were widening between 5 and 12 basis points depending on the benchmark exacerbated the performance of mortgages versus hedges. In addition to the developments above, the market continue to price in at even more [indiscernible] Federal Reserve for the balance of 2015. It started in the first quarter when economic data was quite soft and ecstatic acknowledged in awareness of the impact of the strong dollar and eventually in Western Europe we're having on domestic growth, namely weak manufacturing in exports due to the strong dollar and depressed mining and extraction in the fracing areas of the country caused by depressed oil prices. Fed funds futures for December moved from 39 basis points at March 31st, 2015 to 29.5 basis points on June 30th. This adversely affected the performance of our Eurodollar positions and they fail to provide much of an offset to the decline in the value of the portfolios. In sum, it was not a good quarter to be levered MBS investors. Prepayments fees were elevated to start the quarter and remained stubbornly high into the third quarter. Late in the quarter, mortgages widen and continue to do so into early July although the widening has abated somewhat since. With elevated speeds and uncertainties surrounding the future direction of long-term rates, our hedges underperformed as well, especially in late June. Now turning to some specifics of our results. Our proxy [ph] for premium amortization, premium loss due to pay-downs was approximately 5.66 million for the quarter. June prepayments fees were released earlier this month and as mentioned above, remained approximately 40% above the level of speed at the beginning of the year. The realized yield on our pass-through portfolio declined from 3.80% during the first quarter of 2015 to 3.63% during the current period. This decline was a result of deploying much of the capital rate in the second quarter into lower weighted average coupons on the portfolio and not premium amortization as we do not imply the level yield method of accounting. Our premium lost due to pay-downs is action of quarterly mark-to-market. Decline in the realized yield on the pass-through portfolio was to some extent offset by higher yields on the structured securities portfolio. This was driven primarily by a change in the mix of securities held caused by additions to the portfolio. The structured securities portfolio grew by approximately 50% during the quarter and we added several higher yielding inverse IOs. The realized yield on the total portfolio pass-throughs and structured securities declined from 3.62% to 3.48%. During the first quarter, we established another after-market program. The company sold an additional 5.04 million shares during the quarter through the ATM program. Inclusive of shares sold in late March that settled in early April, we raised approximately $67.2 million in proceeds, net of fees paid to the agent and other costs during the quarter. Weighted average sales price of these shares was $13.654. The company's book value per share was $12.87 on March 31st, 2015 and $12.38 on June 30th, 2015. The fundamental proceeds in the pass-through portfolio were such that we maintained approximately the same breakdown between 15 and 30-year fixed rate mortgages, hybrids and [indiscernible] setting off. However, owing to the decline in rates during the first quarter, we added predominately 4% coupons to the 30-year fixed bucket. This contrast to predominantly 4.5% coupon securities for most of 2014 and the first quarter of 2015. This was the primary driver and the decline in the realized yield on the pass-through portfolio and also the more severe mark-to-market losses on the pass-through portfolio when rates sold off during the quarter. The 4% securities had a longer duration than 4.5% securities. As mentioned, additions in the structured securities portfolio were skewed to high strive inverse IOs. With respect to our funding hedges, the notional balance of our hedges in place at June 30th, 2015 represents approximately 60% of our repurchase agreement balance versus 77% at March 31st, 2015, based on the balances of the outstanding repurchase agreements in place at the time and assuming that any unsettled security sales and repurchases were settled, if applicable. However, during the period and again in early July, we did add 240 million 10-year Treasury Notes reserves, which have approximately doubled the duration of our typical hedge in Eurodollar securities. The duration neutral Eurodollar trade would have added nearly 500 million face value. If we adjust for the added duration of the 10-year Treasury hedges in the current portion of our repo balance, approximately 1.961 billion covered by rate hedges is approximately 80%. This coupled with the aforementioned growth in structured securities leaves us with a small positive model interest rate duration net of hedges versus a model portfolio loss of 0.59% would occur if rates rose by 50 basis points and a model portfolio gain of four tenths of one basis point if rates decline by 50 basis points. During the month of July, our Q2 results have been consistent with the model profile absent any basis [Indiscernible] has occurred as rates grew. Our leverage ratio at June 30th, 2015 was approximately 7.12 to 1 both as reported and after adjusting for 7.6 million of unsettled security purchases subsequently financed by $5.7 million of new repurchase agreement obligations. Our leverage ratio at March 31st, 2015 was approximately 6.7 to 1 as reported. When adjusted to reflect 79.2 million of unsettled security purchases subsequently financed by 74.5 million of new purchase agreement obligations, the leverage ratio at March 31st remained at approximately 6.7 to 1. The portfolio remains exposed to a substantial increase in prepayment fees. As I mentioned previously, we anticipate speed to continue to decline over the course of the balance of the year although not quite leveled as we observed in the beginning of the year. Accordingly, we intend to maintain our exposure to higher prepayments fees, we also tend to increase the weighted average coupon as well now that 4.5% 30-year fixed rate securities are more readily available. Of course, overall speeds and reaccelerate resulting increase in amortization will put pressure on earnings and our dividend rate as it did in the current securities. Looking ahead, we continue to anticipate the Federal Reserve will begin the process of policy normalization, which will entail, among other measures, increases to the Fed Funds target range. Recent events continue support a quarter strong dollar, while commodity prices generally and the price of oil in particular are quite weak, while we still believe the Fed is anxious to get off in zero value in interest rates, we believe the path of the Fed funds target rate over the next few years will be shallow and reach a lower terminal rate that in historically has after a Fed tracking cycle. In any event, increases in the Fed Funds target range are likely to result in increases in LIBOR rates, which are tied to the company's funding costs. The company utilizes Treasury futures, Eurodollar futures and swaptions to hedge its funding costs, although it does not employ hedge accounting for GAAP purposes. For GAAP, our funding costs will rise as short-term rates rise as there will be no hedge offset. However, to the extent, the corresponding hedges increase in value as LIBOR increases and we expect to experience positive fair value adjustment associated with the funding hedges. In closing, based on our belief that speeds will not be traced all the way back to the level we observed at the beginning of the year, we made a decision to reduce the dividend from $0.18 per month to $0.14 per month. We currently believe the new dividend level is consistent with the earnings capacity of our current portfolio. As always market conditions had a new change so we are aren’t able to get forward guidance regarding the dividends. What we can't say is that we will first protect our book value as our capital basis would enables us to pay dividends in the first place. If the capital base is eroded we are unable -- as a RE that is subject to income distribution requirements to recover capital once it is lost. As we have seen over our brief operating history, the dividend can both rise and fall as market conditions dictate. But our primary focus remains preservation of book value. That concludes my prepared remarks. Operator, we can now open the call up for questions.
Operator: [Operator Instructions] And I'm showing the question coming from the line of David Walrod. Your line is open.
David Walrod: Just wanted to talk a bit about the capital allocation between the structured and the pass-through. Obviously, as you mentioned it was skewed more towards structured this quarter. Can we expect that to go to more 50-50 level or what is your expectations there?
Bob Cauley: Thank you. It’s going to move slightly more so, Dave, I don’t know that materially, so -- I don’t know if we'll get all the way to 50-50. But I would say that the pass-through portfolio. We talked about the coupon mix, we have been adding 4.5. I think that is IOs which look very attractive in this environment until less fixed rate IOs, will get little more appealing. So it will probably cause us to move little bit in that direction. But I don’t think it’s going to be a material move.
Hunter Haas: The move in the second quarter was largely related to the fact that, as we moved farther out the curve in the pass-through portfolio, we felt more comfortable, taking risk in inverse IOs to the belly of the curve. And the nature of the inverse IOs were long -- sort of the intermediate part of the curve which should short the long run, so we felt like that was a good offset given the rolling of the pass-through portfolio into more lower coupon, higher duration assets. And also they’d lagged -- in the June sell up they really lagged IOs with little bit of a relative value play as well. So we will see how those do in the coming months, if they slow down like we think they are going to, they can have some nice income earning capacity or we may choose to just take chips off the table to the extent they tied back up.
David Walrod: Okay, great. And then the share buyback, can you talk about, I guess, how the Board is going to way repurchasing stock versus reinvesting proceeds back into your portfolio?
Bob Cauley: Well, given the current discounts of book which was approaching 65% to 66%, obviously buying back the shares, stock at nearly a 50% return, we cannot replicate that in the portfolio. I mean, if we did we would be paying a 50 seven-month dividend. So for now it looks pretty compelling. So the other thing is to keep in mind, we set the program limit at 2 million shares and we are still pretty small company and our capital base, while its grown a lot in last year and a half. It’s still not that large and that matters, not so much necessarily for equity investors, which in some cases still does, its only matters for credit counterparties and we want to maintain a certain element of critical mass, if you will. And so that's probably going to limit how we do. But will be accretive to book value and there is no question of that. I would say, more so than share sales previously given the current discount to book.
Hunter Haas: Just to add a note on that, we will sell more assets in order to do that so to serve it, to certain extent. So it’s not as if we are going to increase our leverage. I think that's another important to note when we kick off share buybacks that it’s not just going to be an explicit increase in leverage. We will sell some bonds; raise some capital to do that. That being said, we do have ample cash. Right now our cash and unencumbered securities is roughly $140 million. $100 million of that is just cash. So they have nearly half of our equity base so they can cash. So we can act relatively quickly for the share buyback plan as soon as we are out of any of our blackout period and that sort of thing that we are subject to.
David Walrod: Okay, great. Thanks a lot guys.
Bob Cauley: Thanks Dave.
Operator: And I have a question coming from the line of Christopher Testa of National Securities. Sir, your line is open.
Christopher Testa: Good morning. Thank you for taking my questions. Just what the core earnings number, what were the unrealized losses on derivatives for this quarter?
Bob Cauley: Well, about 800,000, I believe.
Christopher Testa: 800,000?
Bob Cauley: Net of the treasury futures and Euro/Dollar futures.
Christopher Testa: Okay, so that was for core earnings that -- is that $0.83?
Bob Cauley: No. Well, we don’t release core earnings. The way we typically -- if we were to try to back into a number, you start with the top of the income statement. So interest income and interest expense, you back out -- since we don’t amortize premium, the closest number we have to that is premium loss through the pay downs. That was $5.656 million and then expenses of -- I think which was around $2 million. So I came with -- you’re doing that math, I come up with number about $0.38.
Christopher Testa: Okay. Yes, because lot of the GAAP…
Bob Cauley: That number has…
Christopher Testa: The GAAP number also -- $2.8 million you have the unrealized losses on MBSs about $13.3 million and then you have about $7.5 million premium loss through to pay downs. Correct?
Bob Cauley: I believe that's the case. But I did always have doubts. So I'm going to take your word for it.
Christopher Testa: Okay. And just with regards to the repurchases, what are the restrictions in terms of the timing and the size that you are allowed to kind of purchase at the time? What's the -- when does that open?
Bob Cauley: We are blacked out now. I think we can start next week. Its standard industry, and obviously SEC, REGs, you can't be anecdotally open and close. You are limited on how much of the volume you can be. I don’t have those numbers in front of me. But it’s -- there is a 10b5 and 10b-18 program. This is going to be a 10b-18, all of them they are subject to these same restrictions and terms of what the things you just alluded to. If you want, I can get to those. But it’s not our rule. We’re going to follow whatever the REGs are and that's that.
Christopher Testa: Okay. And given that you are looking to add to 4.5% coupons, bit higher rates, what type of a balance sheet are you comfortable with. I know you are at 7.1 times now. What's the maximum that you think that you would take that up given the prepayment environment you are looking at and the capital allocation?
Bob Cauley: I would say we are above it really. We’re probably going to go down some. And we are down slightly from where we are at quarter end. So, I mean, we've been historically between 6.75 until very recently, we will probably get it moved closer to 6.5.
Christopher Testa: Okay. And what would be, I guess, the biggest risk, what should we be looking at in terms of prepayments continuing to speed up. I know, Bob, you had mentioned that. This was really the cause of turnover and not rates. Given where housing is, we had existing home sales really strong last week. What's going to cause this to continue to accelerate and what could cause this to really normalize?
Bob Cauley: Well, turnover is what I was referring to, that's been driven by strong housing fundamentals and I expect that…
Christopher Testa: Right.
Bob Cauley: As far as refinancing activity, I don’t know that that -- it will take a pretty meaningful move lower in rates. I think well below 2.20 on tens. You need to get the survey rates, for instance, comfortably under 4%, probably pushing 3.5%. So figure it this way, we were in a very low rate environment for long period of time, so anybody that could refinance basically could, did. And then we have this period in late 2013 early 2014 when rates spiked higher and there were lot of higher coupon mortgages originated. Over the course of 2014 rates fell and then early 2015 stay there for a while briefly. So those borrowers that put their mortgage in place in basically 2013 or 2014 were now exposed to lower rates and they refinanced. Rates have backed up a little since then. So in terms of like who is left to refinance, it’s probably not the pure rate guys. Now what you are probably seeing are the credit guys, guys who just have been locked out of refinancing because of negative equity, that's being driven by home price appreciation. That's where you see some pent up demand guys who just have been in a house for years and couldn’t move because they just couldn’t get another mortgage. Now that's starting to free up, and so you are starting to see those types of refinancings and that can really turnover, just people trading not because their rate on the new loan is that great, but just because they want to move. And anecdotally, things we hear around here -- we talked to you about the survey rate and how far in or out of the money your mortgage is. We are also starting to hear about more creative forms of financing. People are able to buy all cash out refis, people getting lower than 20%. So even if they are slightly out of the money they may be able to find their way to finance a new home. So you will see now on what you might call economic rate refinancings as well.
Hunter Haas: Chris I would just add that, that the last time we saw our rate environment as low as the one that was -- that surfaced in the first half of the year was -- back around the time when we did our IPO. And if you recall back then our earnings rate was about -- I think we paid a dividend stream of $0.305, rates went up, speed slowed down, earnings capacity of the portfolio had expanded. That wasn’t in play. So we retouched those levels and saw a corresponding increase in our prepay speeds. That was really sort of a challenging environment to invest, because we had 4.5 as we alluded to that we were seasoning and starting to become faster and faster and in the money, and prepay speeds really sort of coming up the ramp and responding to refi incentive. And we were really left with a difficult decision, which is accept some faster prepay speeds in the portfolio or increase their duration in order to hide from it and based on some of the other earnings releases we've seen this quarter, it seems like a lot of people struggle with that same decision and that turns out that, wow, faster speeds would hurt earnings little bit. The alternative would have been more duration and more book value erosion. So we would like to get back into a lower duration portfolio as fast we can. But those just weren’t available in the first and second quarter really.
Bob Cauley: To the extent we like.
Hunter Haas: Yeah.
Christopher Testa: Okay. Thank you. Thanks helpful. And just one is the Q going to be filed?
Hunter Haas: Today.
Christopher Testa: Okay, great. Thank you.
Operator: Thank you. [Operator Instructions] We do have a question coming from the line of Michael Diana from Maxim Group. Your line is open.
Michael Diana: Thanks. I understand you said you don’t give dividend guidance. When you set the $0.42 dividend where you assuming a Fed Funds rate increase to 25 basis points and buybacks that involved selling assets as you mentioned earlier in the call?
Bob Cauley: No, we were not in both counts. So we tried to set that dividend rate basically equal to where we were at that point in time. We absolutely didn’t contemplate share buybacks in the portfolio changes, because we would assume that those would be such -- to the extent we had to shrink the portfolio be such that we maintain the same profile. And as far as the Fed goes, we are still pretty much like anybody else, we are not sure if they are going in September or December. But that will probably, even if they gone in September wouldn’t really affect our funding in a meaningful way until October and beyond.
Hunter Haas: That being said, when we do our projections -- dividends are based on taxable income which is a fiscal year -- calendar year really event. And so to the extent that we have hedges in place, we know where they are in terms of being either in or out of money versus rate hikes later in the year. So to the extent our Euro/Dollar positions we are pricing in some gains and losses associated with where we -- the difference between where we originally struck them and where current market expectations are for the any Fed rate hikes. Those are baked into that analysis.
Michael Diana: Okay. Thank you very much.
Operator: [Operator Instructions] And I'm showing no further questions at this time. I would like to turn the call back over to Mr. Cauley.
Bob Cauley: Thank you, Operator. And again thank you for your time. To the extent anybody has any questions that come to mind after the call, please feel to call, so we will be here all day. Otherwise we look forward to talking to next quarter. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program. You may now disconnect.